Operator: Ladies and gentlemen, thank you for standing by, and welcome to the CSG Systems Q3 Conference Call. [Operator Instructions] Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference is being recorded today, October 30, 2012. And it is now my pleasure to introduce our host for today, Liz Bauer. Please go ahead, ma'am. 
Liz Bauer: Thank you, Michaela, and thanks to everyone for joining us. Today's discussion will contain a number of forward-looking statements. These will include, but are not limited to, statements regarding our projected financial results; our ability to meet our clients' needs through our products, services and performance; and our ability to successfully integrate and manage acquired businesses in order to achieve their expected strategic, operating and financial goals. While these statements reflect our best current judgment, they are subject to risks and uncertainties that could cause our actual results to differ materially. 
 Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release any revision to these forward-looking statements in light of new or future events. In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today's press release, as well as our most recently filed 10-K and 10-Q, which are all available on the Investor Relations section of our website. 
 Also, we will discuss certain financial information that is not prepared in accordance with GAAP. We believe that these non-GAAP financial measures, when reviewed in conjunction with our GAAP financial measures, provide investors with greater transparency to the information used by our management team in our financial and operational decision-making. For more information regarding our use of non-GAAP financial measures, we will refer you to today's earning release and non-GAAP reconciliation tables on our website, which will also be furnished to the SEC on Form 8-K. 
 With me today on the phone are Peter Kalan, our Chief Executive Officer; and Randy Wiese, our Chief Financial Officer. With that, I'd now like to turn the call over to Peter. 
Peter Kalan: Thank you, Liz, and thanks to everyone joining us on the call today. I want to start with expressing our concern for all those affected by Hurricane Sandy, including our employees in the Northeast, and our thoughts are with all those in the storm's path. 
 Now on to our business results. I'm pleased to report that we had another solid quarter of execution, generating revenues of $190 million and non-GAAP earnings per share of $0.50. With only 2 months remaining to close out the year, we continue to remain confident in our ability to achieve the high end of our 2012 financial guidance for both revenues and non-GAAP EPS. 
 This confidence comes from a number of areas. First, we continue to get broader and deeper into our clients' businesses by finding new ways to help them be successful and more efficient in their operations. Second, in spite of the challenging environment facing communication service providers worldwide, we continue to see decisions being made on smaller projects that have a clear objective and quantifiable return on the investment. And finally, we continue to manage our business and operations, controlling expenses and investments in a manner that's targeted toward the accomplishment of our longer-term goals but mindful of the challenges every business is facing these days. 
 Let me share with you some examples that demonstrate the points I just mentioned. For those of you who followed CSG over the years, you've grown accustomed to our ability to establish a client relationship, and then continue to capture more of the IT and operational spend with our extensive portfolio of products and services. As part of this, we help simplify the number of vendors a client has to manage, as well as simplify the integration and management of various systems across the enterprise. This approach also creates a stickiness for our solutions and creates a relationship and dependence between the client and CSG that's difficult to replicate. 
 For example, this past quarter, we displaced a competitor's print communication services in our North American cable Singl.eView win that we announced last February. As you may recall, a top 10 cable operator is replacing their existing billing and care platform and implementing our Singl.eView solution. When the system is operational next year and with their print communications with CSG, they'll have a one-stop shop for managing the customer experience. As we've done so many times before, we'll continue to look for more ways to help the client be successful by finding new problems that we can solve and more efficient ways that we can help them operate their business and generate revenues. 
 Another way that we help our clients succeed is by developing solutions that can scale to accommodate their growth. 3 Indonesia is a wireless operator using our Singl.eView solution to process their 2G and 3G customer transactions in real-time. Recently, 3 Indonesia processed approximately 700 million real-time transactions in 1 day. In addition, this client is continuing to grow as they've added nearly 10 million new customers this year alone, bringing their total customer count to 30 million. Operators, in particular those in emerging and growing markets, need to know that the solutions that they're investing in and implementing can scale to meet their needs today and as their businesses grow and evolve. 
 And finally, another example of how we help our clients succeed is by helping them manage the efficiencies of their operations. This can range from everything from the technology deployed, to the rationalization of disparate platforms, to the way in which solutions are implemented and managed. For example, earlier this year, we announced that a major North American telecommunications provider was consolidating their various billing platforms for their commercial services customers onto our Singl.eView 7 platform. Not only does this enable the client to have a centralized and more simplified back-office operations, but by upgrading to our version 7, their billing operations is running on lower-cost Linux technology. The initial performance testing has yielded very positive results. This client has seen their level of rating increased 4x to almost 24 million events per hour and their average bill processing duration has been cut in half. 
 While operators across the world are being much more prudent in doing major overhauls or replacements of these mission-critical platforms, they are investing in solutions that have shorter payback periods and they're aimed at improving the customer experience, increasing revenues by gaining new customers or rolling out new products, or systems that gain additional efficiencies in their operations. With our proven track record, our extensive domain expertise and our broad set of solutions, we're well positioned to be the provider that operators turn to for help. 
 Now let me share with you what we're seeing in the various markets that we serve. This past month, we hosted our client conference for our EMEA region. We had strong participation amongst our clients and had great discussions regarding the environment and the challenges that operators are facing. We walked away from the client conference unchanged in our perspective on the EMEA region. We believe that the business environment is still extremely challenged as operators are being asked to do more with their existing solutions, while at the same time, looking to find creative solutions for introducing new products and services. In addition, operators have reduced -- have a reduced appetite for taking on projects that have risk associated with them. 
 However, on the positive side, as a result of these factors, operators are more open to entertaining managed service offerings to help them reduce their overall capital expenditures and create a more predictable cost structure. With our heritage of managing mission-critical applications for some of the largest communication service providers in North America, we believe that this is an opportunity that will expand in the coming years. 
 Our APAC region continues to build its pipeline. Decision-making is slow, and consistent with other regions, there's a hesitancy to undertake large transformational projects. However, operators are considering new solutions for rolling out new products and services and solutions that provide a more scalable platform for customer growth. We're pleased to see the progress that we've made in this region over the past year and we're focused on closing opportunities and continuing to build and strengthen our pipeline. Our Americas region continues to see growth opportunities. This past quarter, we continued to expand our Mediation and interconnect footprints with 2 of Latin America's largest telecommunication groups serving the region. In addition, we expanded our applications management services for a large provider of value-added mobility solutions related to safety and security. And we've begun the rollout of our product catalog solution in the division of one of our largest cable operators in North America. 
 All of these examples demonstrate the strength of the CSG business model. First, we established a relationship with a service provider by solving a problem or helping them maximize an opportunity. Next, as a result of our domain expertise in creating a more relevant and personalized experience for the end user and monetizing transactions as well, we're able to get broader and deeper in our clients' businesses, creating recurring and long-term relationships. Then as being a part of our clients operations, we identify new solutions to problems, which feeds ideas into our research and development teams and broadens our product and service portfolio even more. Ultimately, in the end, we measure our success by the success of our clients and by our ability to execute on the commitments we make. 
 Finally, I'd like to reiterate a few key points. First, the business climate for communication service providers continues to be a challenge. However, we continue to see opportunities in smaller-sized projects that have clearly defined returns on investments. Second, we're continuing to invest in the future. During these difficult times, cutting back on your investments in R&D and people is always an option. However, we continue to believe that these investments will position us very well when the market begins to turn and operators need a partner who is invested in managing the increased complexities of this digital world. And finally, our financial strength continues to provide us with the flexibility to invest in our people, our products and our client relationships. With that, I'll turn it over to Randy to review our financial performance for the quarter. 
Randy Wiese: Thank you, Peter, and welcome to all of you on the call today to discuss our financial results for the third quarter of 2012 and guidance for the remainder of the year. We continue to execute well during the quarter and are making progress in our pipeline opportunities. And as Peter stated earlier, we believe that we will deliver financial results at the high end of our guidance based on the strength of our performance for the first 3 quarters. 
 Before walking you through the financials, as a reminder, this quarter includes the financial results from Ascade, which we acquired in July to enhance our market-leading position supporting the complex global interconnect market. So let us begin. 
 Total revenues for the third quarter were $190 million, up 4% over the same quarter last year and up $6 million or 3% from the second quarter. These increases can be attributed to additional revenues from Ascade and increased client spending on various ancillary services. Breaking down revenues further, during the quarter, we had 3 material clients that each individually generated revenues over 10% of our total revenues: Comcast, DISH Network and Time Warner. Together, they were 44% of our revenues for the quarter. Additionally, in the third quarter, we generated 9% of our revenues from the Europe, Middle East and Africa region and 4% of our revenues from the Asia Pacific region, which has been very consistent over the past year. 
 Our non-GAAP operating income for the second quarter -- for the third quarter was $31 million with a margin of approximately 16%. As anticipated, our third quarter non-GAAP operating margin declined sequentially from the second quarter due to the expected increased investment in employees and the dilutive impact from the Ascade acquisition. GAAP operating income for the quarter was $22 million or a margin of 11%. 
 For the third quarter, our adjusted EBITDA was $42 million or 22% of total revenues. As expected, our estimated non-GAAP effective income tax rate was 41% for the quarter. Non-GAAP EPS for the third quarter was $0.50, which compares to $0.58 for the same period last year. This year-over-year decline is primarily due to the lower operating margin in the current quarter as compared to the same quarter last year. GAAP EPS for the third quarter was $0.29. Foreign currency movements did not have a material impact on the current quarter. 
 Now onto our cash flows and balance sheet. Our cash flows from operations for the quarter were $24 million, bringing the year-to-date total to $108 million. Our cash generation capability continues to be a strong metric of our solid business model. We ended the quarter with cash and investments of $185 million, which was down $11 million from the ending balance last quarter, primarily due to our cash purchase of Ascade made during the quarter for approximately $19 million. 
 During the quarter, we also repurchased 150,000 shares of our common stock for $3 million, or  a weighted average price of $18.14 per share. We spent approximately $7 million on capital expenditures and paid $5 million on our term loan, which allowed us to end the quarter with $318 million in par value debt on our balance sheet. 
 To recap the first 9 months for you, we have repurchased approximately 823,000 shares of our common stock for $13 million, acquired Ascade for $19 million, paid down our debt by $22 million and had capital expenditures of approximately $20 million. The strength of our balance sheet provides us with the flexibility to continue to invest in our company to create long-term shareholder value. 
 Now let's move on to our outlook for the remainder of the year. Overall, we are maintaining the full year guidance that we shared with you last quarter. Based on the strength of our year-to-date performance and our visibility into the fourth quarter, we believe we'll come in more towards the high end of our guidance range for the year. 
 For 2012, our revenue guidance stays unchanged at $722 million to $747 million. Our expectation for our non-GAAP operating margin remains at an approximate 17.5% range for the full year 2012. This guidance reflects expectations of a relatively consistent operating margin for the fourth quarter when compared to our third quarter. 
 We continue to anticipate adjusted EBITDA to be within a range of $166 million to $173 million or 23% of our expected total revenues. Our expectation for the 2012 full year non-GAAP effective income tax rate remains at 41%. We continue to work with outside advisers to evaluate different options to improve our income tax rate going forward. 
 We are maintaining our 2012 non-GAAP EPS guidance in the range of $2 to $2.15 and our operating cash flows for the year in the range of $120 million to $130 million. We continue to expect capital expenditures in the $30 million range for the year. Our guidance reinforces our solid cash-generating business model and strong capital structure. 
 Please note that our 2012 guidance does not anticipate any significant impact from foreign currency fluctuations since we generate a large percent of our revenues in U.S. dollars and because the difficulty in predicting foreign currency rates for the remainder of the business. We do have a portion of our foreign revenues and expenses in a natural hedged position, but we are still subject to foreign currency fluctuations in certain areas. And finally, consistent with our past practices, our guidance does not assume any share buybacks under our repurchase program for the remainder of the year. 
 To summarize, we are pleased with our reported financials this quarter. We believe the results are indicative of our solid business model, consistent execution and strong balance sheet. We believe the investments we made in our customers, employees and technology are paying off. We have strengthened our position as a leading provider of solutions, supporting service providers around the world who depend upon our mission-critical solutions to operate their businesses and deliver a superior customer experience. We look forward to sharing our continued successes as we wrap up the year. With that, I'll open it up to the operator, so we can take any questions. 
Operator: [Operator Instructions] And our first question comes from the line of Scott Sutherland from Wedbush Securities. 
Scott Sutherland: Well, I guess, the first question is over the last few quarters, you've seen some gross margin and margin pressure. I know you're investing in the business. Without providing -- I know I'm not asking for guidance for next year. But can you talk about how you see stabilizing, maybe getting those margins going back in a positive direction and thus EPS? 
Randy Wiese: Yes. I'll take that one, Scott. I think, as I said in the past, we are making investments now in anticipation of good revenue growth opportunities going forward. And this is a business of scale. Our opportunity to expand our margins really is around our ability to grow our business and continue to really manage our cost as we grow the business. 
Scott Sutherland: Do you guys have some sort of margin goal you want to be to -- be at long term? 
Randy Wiese: Yes. Long term, I think we've talked about 18% to 20%. Our non-GAAP operating margin is a target. Obviously, we're investing at a level right now that's below that. But again, we've always said that we're in this for the long term. We will make the necessary investments in the short term. And I believe, over time, as we become more successful in some of the things that we are pursuing, I think we've got a chance to get back to the 18% to 20% range. 
Scott Sutherland: Great. I know you guys are working on a couple of big renewals. Last quarter, kind of a positive surprise is that Comcast did not consolidate onto a competitive solution in a small little metro region. Are they still planning to do that? Or is that something that's still on hold right now? 
Peter Kalan: Scott, this is Peter. I think that the thing that we can comment on right now is that we don't see any plans for those subs to come off during 2012. And as we do the renewal, we'll be working with Comcast to get their long-term plans understood on that. 
Scott Sutherland: Great. My last question is you're seeing a lot of good flow in smaller-sized deals and breaking up deals. What's the pipeline look like on transformational deals? Are they just stalled in the pipeline? Do you have a lot in the pipeline? Or are people just not putting out transformational deals at this point? 
Peter Kalan: We'll see a few opportunities where people are contemplating them. But as we've looked at them, they don't seem to be progressing through the pipelines in the way that we see the smaller deals. So there will be some evaluation activity and some initial evaluation by parts of organizations. But they don't seem to have the legs in them to really move forward as you'd typically see the depth of analysis and the depth of parties getting involved. 
Operator: And our next question comes from the line of Howard Smith from First Analysis. 
Howard Smith: A couple questions. One, you've discussed in the past the discretionary spending at some of your larger North American customers being kind of less than expected in the early parts of this year. They're really not freeing up those budgets. I was wondering if you could address what you're seeing right now. 
Peter Kalan: We're seeing somewhat of a consistent behavior by clients. You'll see a little bit of variability from 1 client to others between quarters but not any general market shift for them on their discretionary communications or marketing dollars or any of their discretionary kind of one-off investments that they may do. Randy, as you look at the business, anything different you see? 
Randy Wiese: No, I think you're right, Peter. You'll see a little bit of spike in some clients spending a little bit more in 1 quarter versus the next. But it's really dependent upon what they've got going on really in their programs at the time. 
Howard Smith: But overall, it remains somewhat challenging relative to the longer-term history. 
Randy Wiese: Yes, it is. It's not -- it hasn't returned to the levels that we saw several years ago. 
Howard Smith: Okay. And then in APAC, it sounds like the progress is pretty substantial as you've changed the management there on the sales side. Where are you in that? Are you fully building the pipeline as expected at this point? Or any update on that? 
Peter Kalan: In general, Howard, what we've done is we've rebuilt the team. They've invested time within the market developing relationships, making sure that we are on the list to receive RFPs, as well as helping our clients, where possible, identify what their future needs may be. So as RFPs come out, we're a part of that process. Our pipeline has grown. It is -- probably most importantly, it's grown in quality. And so our goal now is just to continue to see those opportunities advance to the point that they get to signature. We have -- every quarter, get smaller deals, but what we're looking to do is get really kind of broader relationships exploited through these RFPs, as well as pick up new clients. 
Howard Smith: Okay. And one last quick technical one. Will you be breaking out in the Q or will you tell us what the specific Ascade contribution was for this quarter? 
Randy Wiese: I think in the Q, it will be in there. And I think you can pretty much surmise what it will be, though, as we expected it to be about $7 million for the year, over 6 months, so divide that by 2. And we said it would be slightly dilutive. So that's what you should expect to see in the Q. 
Operator: And our next question comes from the line of Tom Roderick from Stifel, Nicolaus. 
Tom Roderick: So I guess there seems to be a level of caution in your implied fourth quarter guidance that wouldn't necessarily be consistent with the quarter you just put up, with a nice, solid beat and certainly some nice, solid wins. To the point that there may be some conservatism involved in the guidance, I get that. But I guess, the question I would have is did the environment change to the worst this quarter? And maybe particularly around transformational projects on the Intec Singl.eView line. Did the transformational project slow down? I'm just trying to get a sense of fundamentally how the market may have changed in the last 90 days. 
Peter Kalan: Tom, I don't think there's been any fundamental change. We've been successful on the front end of the year getting a lot of the Singl.eView deals signed. They have been smaller than we originally had expected. I think we talked about that in the past. They had a little bit smaller on some of them. We continue to still look to build more Singl.eView opportunities and get those signs so that we build even more visibility into the future year. And we have opportunities we're pursuing, but not anything that's really a fundamental shift to where we've been. Relative to guidance, I think one of the things that we've done this time is, in the past, we were commenting that we were more comfortable from the mid- to high. And now we're saying that we have confidence that we'll be towards the high end of our guidance. So even though we didn't change our range, we've given you tonal commentary of where we think we'll be within that range. 
Tom Roderick: Okay. Very good. And then from the standpoint of going into next year, and granted the global economy is a little bit uncertain for most people out there, am I correct in taking your commentary, Peter, in that you don't have plans to necessarily slim down the investments that you're making in the platform nor slim down the employee base as you go into next year? Is this going to be yet another year for investment? 
Peter Kalan: I think we will continue to invest in our business. We'll look to do prudently based on our outlook in the business. We are not static. We will increase areas in our business where we spend. In other areas, we'll try to slow down where we see the best opportunities are for us building long term. But not anything, really a change in behavior from what we've done before. It is -- we don't see any change in the broader marketplace saying that we're suddenly going to grow at a much higher rate from kind of the general communication service providers and what they are looking for from their vendors. And we're going to look to stay in tune with that market condition. 
Tom Roderick: Great. One last for me. You've commented a couple quarters in a row now on 1 specific large North American telco operator that's going through a platform consolidation. Can you just again provide a little bit more in the way of detail about what it is you're doing there and kind of what the timeframe for completion on that project might look like? 
Peter Kalan: Sure. Without naming names or giving any particulars because we're precluded from doing that right now, that is one of the top 10 cable operators in North America. 
Liz Bauer: No, he's talking about... 
Randy Wiese: Large telecommunication provider. 
Peter Kalan: Oh, telecommunication provider. I'm sorry. I was think of this anyway. What we're doing with that client is that there was -- we had an install of Singl.eView for a specific piece of their business, where it was being used for the enterprise client. And enterprise clients usually have very complex billing requirements, complex hierarchies, complex rating plans based on the diversity of that enterprise client's operations. And so the system was up and running, meeting the needs of the client. But as you can guess, they had many other systems in place for other enterprise clients and enterprise parts of their business. And so they selected Singl.eView to be the platform from which they would consolidate and have a standard operation of a platform and business rules of how they'd run their enterprise business operations. By choosing Singl.eView, they've been going through a migratory conversion of these other systems onto the Singl.eView platform. And through that, they're getting better operational performance from the system because they've upgraded, as well as standardization that's allowing them to drive their cost down every time. 
Tom Roderick: Do you know how many other platforms are consolidating down from onto Singl.eView? 
Peter Kalan: 20 plus, something like that. I don't have the exact count, but it's a decent-sized number. 
Operator: And our next question comes from the line of Sterling Auty from JPMorgan. 
Sterling Auty: Listen, the comments about investing in the company for the growth going forward, can you maybe connect the dots with -- you have 2 very large renewals coming up in the next 6 months. Should we think about a straight line of growth rate from here? Or should we think about traditional renewal kind of pricing dynamics hitting, and then growth from there? 
Peter Kalan: It's going to be the latter, Sterling. As we've seen with large clients, based on where they want to go and what they need in their business and what we need in our relationships, there will usually be a pricing step-down as a result of that an extension. And those happen generally effective with the anniversary date of the contract. And so you would expect to see a step-down, and then a rebuild in revenue growth from that. And as you probably can see in some of our previous results, because we provide the information of what we get from our major clients on a quarterly basis in our Qs, we've had great success in rebuilding those revenues on a fairly rapid base, that sometimes in 12 to 15 months, we've replaced the revenue discounts that we've given with new revenues coming back in. And as we look forward, still pending how these terms come out with these clients, we would expect to have growth opportunities that would help start replacing any discounts that we give. A great example of that is what we've seen with DISH Network over the last 1.5 years. 
Sterling Auty: And then based on the comment, you keep the headcount to support it, so you probably take an even bigger hit to the bottom line, but again, with idea that you build it right back and you get the leverage as you move forward. 
Peter Kalan: Yes. It is safe to say in that, Sterling, that as you give a discount, unless there are services that a client chooses not to have us run anymore, there is compression on the margin and on the bottom line results, I think, is a fair way to say that, wouldn't you, Randy? 
Randy Wiese: Yes. 
Peter Kalan: But those same clients -- or the same staff that we keep around are rapidly deploying new products that we look to get involved in our clients in rebuilding that revenue. So we have that same base to build the revenue of off. 
Sterling Auty: Got you. And then last question. When you think about looking at the product portfolio, some of the non-billing customer care solutions that you've got, maybe some of the non-telco, cable, as you think about some of the newer emerging areas that have been lingering out there, does any of that start to bubble back up with over-the-top, et cetera? Or just economically, are we still too soon? 
Peter Kalan: Well, with Content Direct, which is some of the over-the-top piece you're referencing, what we're starting to see, and we mentioned this last time, is we're actually starting to see people like DISH Network look to use Content Direct as an extension of some of their core offerings. That's been one of the positives of taking what is a more defined market or really a what we thought was over-the-top and seeing traditional content and cable operators look to use it. The M2M market -- I've got to make sure I don't sound like that rapper from Detroit, Eminem. M2M market, that is a market that we've done a little bit of work with and we're going to look to see if we can get some expansion on that. Our success in the financial market around MasterCard, who we've announced. And we announced earlier this year another financial services-type industry that's using Singl.eView on their billing. Those are markets that we're not sure are going to burst for us yet in a positive growth. But we're continuing to prove what we can do with the Singl.eView solution. Whether it's telemetry-based, providing companies who are doing work, whether it's railway companies or financial services companies or M2M, we're seeing complex billing needs. And as we have clients that need that, our solutions are well-fit as other verticals we're [indiscernible] chase. 
Operator: [Operator Instructions] And we have a question from the line of Daniel Meron from RBC Capital Markets. 
Daniel Meron: So Peter, I wanted to get a little bit more feel for the managed services contracts that you guys talked about. I may have missed a little bit on the details. But if you can just elaborate on the regions that you're seeing those opportunities. Is it mainly in telecom? Or do you -- were you able to expand your reach with Intec internationally? Also into cable operators, are you seeing some opportunities there? And then who the competition that you're seeing around those projects and whether that will require additional investments on your end? 
Peter Kalan: So Daniel, a few points in response to that question. One is we're seeing opportunities in all markets, all regions around the world, whether it's Asia Pacific or EMEA or the Americas. Some consideration for when we talk about managed services, in many cases, what we've done -- and we had one we announced at the end of last year, where a client will ask us to effectively take over the application management of our solutions that run on their floors. And that puts us closer to their operations. That's the first step in being part of managed services because you're really part of the day-to-day operations. In those cases, our competition is, in many cases, our client's staff that's doing the work and not doing it as well as maybe we could do it based on our expertise and the skills that we bring. In some cases, the competition could be a third party that they have working alongside their staff to run the applications and manage the applications. But what our benefit is, is that it's our solutions that are already initially deployed. And as part of that, we have an expertise and we look to expand that. We've had a few other situations where clients have actually signed up for us to run the solutions for them on their hardware. But from the very beginning, from the installation and the implementation, they've asked us to run the applications. And we're now having dialogues with clients, and then recently had a small win, where we are actually running the software with our people and our hardware. So you get a large variety of ways that you can solve it. But the real key for us is no matter what the form or structure of the relationship is, we're working alongside the clients in their operations that gives us visibility, as well as proving to them that we can run the solution that provides better results, both in their uptime, their performance, their cost than what they could do themselves. 
Daniel Meron: Okay. That's helpful, Peter. Is there a way to measure how much managed services you guys have when we are excluding the large U.S. cable or North American cable for that matter? 
Peter Kalan: Not at this point yet. But what my goal is as we get more wins and more size on this, we'll be able to give you some idea of the success, whether it's the number of contracts or something. One of the pieces about it is these types of services are different than what we're doing for North American cable clients. They don't have that scale of operations yet. So we're building very organically with our relationships. And I don't want anybody to think that this is a $400 million or $500 million business today for us outside of North American cable. 
Daniel Meron: Understood. And Randy, you mentioned that you guys still plan on getting to that 18% to 20% operating margin. Can you explain how we're going to get there, between the top line growth and the ongoing improvements in the cost structure or efficiencies? 
Randy Wiese: I think it's a combination of both, Daniel. It's what we do best is we're making investments so that we can grow the top line. This is -- like I said, this is a business of scale. We need the revenue growth to give us some margin expansion while still managing our expenses very well. So it's a combination of the 2. 
Peter Kalan: And Daniel, to the point I mentioned around managed services, you start building those relationships so that when you deliver an incremental service or you deliver an incremental product to those clients, your margin should be better because you're already understanding the client's operations. And whether that's finding ways for us to leverage some of our low-cost delivery centers or if it's ways to leverage the existing folks that are already managing a client's operations, those provide lift to your margins over time. It's a long-term build; it's not a quick fix. But it's the evolution of really the way that we look to support the clients. 
Randy Wiese: Exactly, Peter. It's just like we did on our North American processing business. As you get more clients on the application and more into the solution, it gives you great scale. 
Operator: [Operator Instructions] And at this time, I am showing no further questions in my queue. I'd like to turn the conference back over to management. Please continue. 
Peter Kalan: Well, thank you, Michaela. I just want to give thanks to our employees, who have been performing on a regular basis to support our clients. I want to thank the investors on the call, who continue to show support for us as we evolve our business. And again, we just want to extend our thoughts and prayers for all those people around the Northeast and really the Midwest, who are being impacted by the weather. We have clients who are being impacted by this whether, and we want them to know that we are standing behind them in the support of their operations with our solutions. The difficulties of the economy and the difficulties of what we face around the world when you have a storm come through just makes things more difficult. So we stand together with all us as employees and clients and people around this country. Until next time, we look forward to another successful quarter. Bye. 
Operator: Ladies and gentlemen, this does conclude our conference for today. We thank you, all, for your participation. And at this time, you may now disconnect.